Operator: Hello and welcome to the Fire & Flower First Quarter Financial and Operational Results Call. My name is Lauren, and I’ll be coordinating your call today.  I'll now hand over to your host, Stéphane Trudel to begin. Stéphane, please go ahead.
Stéphane Trudel: Thank you very much, and thank you for joining me today on our first quarter 2022 conference call. I'm Stéphane Trudel, President and CEO of Fire & Flower. And joining me today is Judy Adam, our CFO. Earlier today, our company published its financial and operational results for the first quarter ended April 30, 2022, and the results will be available on the company's website and on SEDAR later today. Prior to beginning our call, I'll direct listeners to the cautionary statement regarding forward-looking information published on the news release for the first quarter of fiscal year 2022, as well as the company's filings on SEDAR. Today, we will be providing commentary on the first quarter of fiscal 2022 financial results, along with an update on our progress to maximize the use of our extensive set of capabilities to drive financial growth and expand our cannabis retail footprint across North America with our asset-light technology driven business model. We will then conclude with the moderated question-and-answer period from equity research analysts that cover Fire & Flower. To begin, the first quarter of fiscal 2022 represents the first full quarter of operations of our full high-fire technology stack, inclusive of our last mile delivery platform, Pineapple Express. In the short time since we've closed on that acquisition on January 21st of this year, we've seen how this talented team can contribute to our success by adding their logistics expertise to our efficient omnichannel customer experience. In Q1, competitive pressures, license expansion outpacing market growth and a growing value-oriented customer base have created challenging market conditions for the industry as a whole. We were not immune to it, but ended the quarter on a positive note with adjusted EBITDA 4% higher than last year at negative $2.3 million. This result was driven mostly with proactive and prudent SG&A management that compensated for reductions in revenue in the retail segment. Total consolidated revenue across the segments of digital, retail and wholesale and logistics were $40.9 million, a decrease of 7% to the same quarter last year. When looking at revenue by operating segment, it's important to note that we've reclassified our Pineapple Express business from digital to the newly created wholesale and logistics segment. After this reclass, our high margin digital segment continues to grow with a revenue increase of 3% year-over-year at $2.9 million. Judy will provide additional commentary on this topic in a few minutes during her remarks. Our newly formed Wholesale and Logistics segment revenues also increased year-over-year and with the addition of Pineapple Express that now sits at $8.5 million. Included within this segment are our revenues from open field distribution, as well as medical and recreational cannabis consumer and B2B delivery services provided for our licensed producer key accounts. Our retail revenue decreased $4.1 million, a reduction of 12% for the same quarter last year. At the end of Q1, Fire & Flower represented one of the largest cannabis retail networks in Canada with 101 stores open and operating. As the legal recreational market continues to grow across North America, novel offerings such as our Spark member pricing program and our new Firebird rapid delivery service that brings cannabis products to consumers' doors efficiently will become important service differentiators for our customers. As a company, we remain focused on improving near-term financial performance and remain focused on our goal of financial sustainability through driving towards positive free cash flow to position us to be active in potential market consolidation. Q1 fiscal 2022 saw us strengthen our balance sheet with the exercise of the Series B Warrant by our strategic partner, Alimentation Couche-Tard through a wholly-owned subsidiary and the associated repayment of our outstanding $20 million loan. Given the current challenging public and capital market conditions and while we were progressing well towards our goal, we have elected to postpone our NASDAQ listing to focus capital on business growth and reduce the significant expenses related to this listing. Our Hifyre team continues to innovate and develop new digital products that adds high-margin revenue streams to our digital segment. We're looking to expand our product offerings across data, retail media and licensing of our technology throughout the industry. As the largest cannabis delivery business in Canada, Pineapple Express Logistics capabilities allows us to improve our ability to cost-efficiently deliver cannabis to end consumers, but also provide additional business-to-business revenue streams. We constantly look for opportunities to high-grade our retail network, taking advantage of our asset-light development model with our partner, Circle K, as we continue with basically development of our next group of franchised co-located stores in high-traffic stores in Western Canada. We recently launched our innovative Spark Member Pricing program to address the needs of the growing value-oriented cannabis consumer segment. Fire & Flower offers Spark Perks members the most popular cannabis products at the best prices. It's an exciting program that in its early days has shown great promise to reverse trends across most markets. This program brings Spark Perks membership to life, best prices on the best products. It is a simple message to value-focused customers that can continue to scale as the cannabis industry continues to evolve. The Spark Member Pricing is an insight based strategic approach to assortment and pricing based on our proprietary Product Power Rank Score algorithm from the Hifyre IQ data platform. This pricing strategy allows Fire & Flower to drive customer traffic on value-oriented products, while maintaining margin on premium products and those that drive greater basket sizes. While it's only been a few weeks since the launch of the new Spark Member Pricing program in mid-May, we're very encouraged with the positive momentum that we are seeing so far on key metrics. We've also seen a meaningful increase in Spark Perks member sign-ups since the launch of the new program. As it remains early days in the new pricing program, we look forward to sharing more details with you on our Q2 earnings call, but this program is a direct example of how Fire & Flower uses technology to improve its retail operations and consumer experience. To strengthen our leadership position in cannabis retail, we're launching an initiative that will focus on operational excellence in all our business segments. Our team will join together to launch a cost reduction initiative that will contribute meaningfully to our objective of positive adjusted EBITDA and free cash flow. In addition to our focus on cost, we will engage with our frontline employees to share and deploy best practices and will leverage our Hifyre digital platform to constantly refine our Spark Member Pricing program to increase revenue and margin and contribute to our profitability targets. I would now like to turn the call over to Judy to discuss our financials and provide a more detailed overview for the first quarter financial results. Judy?
Judy Adam: Thank you, Stéphane, and good morning, everyone. I'm happy to provide a financial overview of Fire & Flower and our operations as released to the market earlier this morning. To begin, I'll remind everyone that Fire & Flower follows a retail calendar with every quarter consisting of 13 weeks. Today, I will be speaking on the first quarter of fiscal 2022, which ended April 30, 2022. Before jumping into our Q1 financial results, I wanted to highlight that as of the beginning of Q1 fiscal 2022, we are reporting our operating performance of our recent acquisition of Pineapple Express Delivery together with our Open Field wholesale distribution business in the newly created Wholesale and Logistics segment. As a reminder, Pineapple Express Delivery was acquired on January 21, 2022. And as such, our Q1 fiscal 2022 results reflect a full quarter of operations of Pineapple Express Delivery in the Wholesale and Logistics segment, compared to the prior year comparative period, which only reflects the operations of Open Fields wholesale distribution business. For the first quarter of fiscal 2022, consolidated revenue was $40.9 million, representing a 4% decrease from the previous quarter and a 7% decrease from $44.1 million in the prior year. The retail segment generated revenue of $29.6 million. The Wholesale and Logistics segment generated revenue of $8.5 million and the Hifyre digital segment generated revenue of $2.9 billion. Total gross profit dollars for the current quarter was $12.2 million and gross margin percentage was 30%, compared to gross profit dollars of $16.5 million and gross margin percentage of 37% in the prior year. Consolidated adjusted EBITDA for the first quarter of fiscal 2022 was negative $2.3 million, an improvement of 4% from the previous quarter of negative $2.4 million. Moving now to an overview of segmented results. Retail revenue for the 13 weeks ended April 30, 2022 was $29.6 million, compared to $33.6 million in the prior year comparable period and decreased $2.1 million or 7% sequentially from the previous quarter. At the end of Q1 fiscal 2022, the retail network across Canada was 101 stores compared to 105 stores at the end of the previous quarter and 83 stores at the end of Q1 fiscal 2021. The quarter-over-quarter decline in retail revenue was partially due to the reduction in store count in the current quarter. On a same-store sales basis, comparing the 79 stores with operations throughout the 13 weeks of both Q1 this year and the prior year, sales decreased by 26% year-over-year, which is an improvement from the previous quarter's trend. Despite the increase in store count in the current fiscal quarter, the decline in revenue year-over-year is primarily due to the highly competitive retail landscape, resulting from mass licensing as well as aggressive price discounting by value-based retailers. Wholesale and Logistics revenue of $8.5 million for the first quarter of fiscal 2022 was an increase of 11% from $7.6 million in the prior year comparable period. The increase was attributable to the addition of Pineapple Express delivery, which is offset by a modest decline in wholesale revenue due to temporary operational challenges from conversion to a new ERP system at the start of our fiscal year. Digital platform revenue increased 3% to $2.9 million in the first quarter of fiscal 2022, from $2.8 million in the prior year, as the company continues to monetize the Hifyre cannabis technology platform with data and ad network subscriptions, recurring monthly services and standalone data and analytics projects. Total gross profit for the company for the first quarter of fiscal 2022 was $12.2 million or 30% of revenue, down from gross profit of $13.7 million or 32% of revenue in the previous quarter and compared to total gross profit of $16.5 million or 37% of the revenue for the same period of the previous year. The year-over-year decline in gross profit of $4.4 million is attributable to the retail segment, with total gross profit decline of $4 million year-over-year and gross margin reduction to 28% compared to 36% in the prior year. However, in terms of quarter-over-quarter performance, retail gross profit in the current quarter of $8.2 million, held flat to the previous quarter, despite a reduction in store count. In the first quarter of fiscal 2022, gross margin percentage on a consolidated basis benefited from a shift in mix, with a larger portion of gross profit coming from the high margin digital segment in the current period compared to the prior year. The digital segment represented 22% of total gross profit dollars in the current quarter, compared to 17% in the prior year comparable period. Total SG&A expense for the company for the first quarter of fiscal 2022 was $15.2 million, compared to $15.5 million for the same period of the previous year. SG&A, excluding share-based compensation and acquisition and strategic initiative professional fees for the first quarter of fiscal 2022 was $14.5 million, or 35% of revenue, a decline from $16.1 million or 38% of revenue in the previous quarter, as we saw the proactive cost management across all our operating segments and offset the inclusion of expenditures from recent acquisitions for Pineapple Express, PotGuide and Wikileaf. Total adjusted EBITDA for the company for the first quarter of fiscal 2022 was negative $2.3 million compared to positive adjusted EBITDA of $2.3 million for the same period of the previous year. While the digital segment delivered positive adjusted EBITDA of $1.7 million in the current quarter, this was not enough to offset the decrease in adjusted EBITDA from the other segments. The company reported a net loss of $9.9 million or a loss per share of $0.27 for the first quarter of fiscal 2022, compared to a net loss of $61.6 million or net loss per share of $2.06 in the comparable period of fiscal 2021. As Stéphane outlined earlier, becoming free cash flow positive is a top priority for the company. We have already made progress on this objective by reducing our free cash flow burn in Q1 fiscal 2022 to $8.7 million, a decline of 24% from the previous quarter, through proactive management of SG&A expense and CapEx spend. During the first quarter of fiscal 2022, the Series B warrants were exercised by ACT for a total of $37.8 million and a portion of the proceeds were used to fully repay the ACT loan and accrued interest of $20.5 million. As a result, our balance sheet as of April 30, 2022, remained strong with only $2.4 million in debt in the form of a convertible debenture and cash on hand of $28.4 million. Thank you. And I'll turn it back to Stéphane and look forward to questions from the participants on the call.
Stéphane Trudel: Thank you, Judy. Some concluding remarks before we move on to questions from research analysts covering Fire & Flower. Fire & Flower has delivered impressive growth in the early stages of our business. I would like to take this opportunity to thank our Co-Founder and Former CEO, Trevor Fencott for his vision in creating this company and assembling this forward-thinking team. Now is the time for the team to focus on the next phase of our evolution. As we evolve to this next stage, our goal is to deliver positive adjusted EBITDA and free cash flow, further enabling our vision of delivering cannabis to the world. Along with our partners, both in Canada and in the US, we have the capabilities, the people and the vision to scale in legal markets. Our Hifyre digital business segment has demonstrated continued growth and is at the core of our strategy to compete in retail, but also allows us to cross borders and expand in new markets through licensing. Our digital platform has also enabled us to launch our innovative Spark members pricing program to address the value-driven customer segment. Fire & Flower's capabilities are unmatched with our strategic partner, Alimentation Couche-Tard whose next series of warrants if exercised will be at a 25% premium to market. Our vision is aligned with Couche-Tard, investors and customers can look forward to Fire & Flower stores adjacent to high-traffic Circle K convenience stores in the coming months. Our appetite for growth in a competitive environment, coupled with our disciplined approach to cost and cash management is what will lead us to succeed. Thank you to our investors for your continued support of Fire & Flower, and we're excited for the evolution of our business. And lastly, I would like to thank our team members for their tremendous work, warm welcome and their open mind since I joined on June the 1st. I will now like to turn it over to the operator for questions.
Operator: Thank you.  Our first question comes from Frederico Gomes at ATB. Frederico, please go ahead.
Frederico Gomes: Hi. Thank you. Good morning, Stéphane and Judy and thanks for taking my questions. So it's very clear from your comments and your press release that that free cash flow is a key focus for you right now. I'm curious, how is it that you view the market right now, given all the store saturation and price compression that you're seeing. Is it possible to become free cash flow positive in this environment, or would you say that the market needs to see some consolidation first for that to happen? Thank you.
Stéphane Trudel: Good morning, Frederico and thank you for the question. So when looking at free cash flow on our side, we are really looking at a holistic view of what's under our control. And certainly, our cost base is under our control. So we will certainly focus in the short-term on that. But we also believe that even in today's market conditions and we're seeing it with the -- how the market reacts to our member pricing program that there's room to grow on the topline and also be more efficient and extract more margin from -- starting from where we are today. So, we're confident that even in today's market, we have a path to become free cash flow positive. And certainly, I think it is -- it should be the focus of the industry with given the current conditions of the capital market and that might eventually lead to some consolidation in the industry, but we're not banking on that we're looking at what we can -- what's under our control.
Frederico Gomes: Thank you. That's really helpful. And then maybe another one in terms of your Circle K co-location program, could you remind us what are the economics there for Fire & Flower? How those co-located stores are different from a Radnor store? And how do you see that program evolving going forward? Thank you.
Stéphane Trudel: Yeah. So, the co-located programs really it's a franchise program asset-light franchise program. So, the benefit to Fire & Flower is that it allows Fire & Flower to expand its retail network in a very capital-light manner. The revenues that will be coming and from these stores will be royalty revenues from the operating stores but also having the -- expanding the retail network allows us to just be more efficient when we look at selling digital products, so increasing our ad revenue as the scope of our network expands with the stores. So, we'll have revenue coming in at various ways from these stores. And obviously, it just improves our capacity to be a key player across the country.
Frederico Gomes: Okay, I appreciate that. Thank you. I'll hop back in the queue.
Stéphane Trudel: Thank you.
Operator: Our next question comes from Andrew Semple from Echelon Wealth Partners. Andrew, please go ahead.
Andrew Semple: Hi there. Good morning and welcome Stéphane to Executive Board.
Stéphane Trudel: Thank you.
Andrew Semple: First question this morning is just on the digital segment. Revenues there obviously saw a sequential decline. I understand the reclassification that Pineapple Express is probably a small contributor to that. But wondering if there are any other perhaps more significant drivers there. I would note in the past here the team is singled that there is some seasonality within the digital segment marketing around the holiday period. How much of that was an impact, if we're looking at the quarter-over-quarter decline in that segment?
Stéphane Trudel: Yeah. Maybe before I hand it off to Judy. I think no, you -- and good morning, Andrew, thank you. So, I think you've hit it on the head here. We need to look at seasonality. We look at the same quarter last year, where we're seeing an increase in -- a 3% increase in digital revenue. So, it's always important to be looking back in the same quarter to negate that seasonality. So, happy to see this increase, and we're looking to continue on that pace in the next quarter. So, Judy, I don't know if you have a little bit more color on the digital segment.
Judy Adam: Yes. Hi. Yes, you're right, Andrew. It definitely is seasonality, and yes, Q4 tends to benefit from higher retail media’s revenues as a result of promotions that happen over the holiday season. And as Stéphane mentioned, you saw a similar dip occur in Q1 last year. And then just overall, I mean, the team has been hard at work integrating PotGuide and Wikileaf and CannDeliv into the Hifyre technology platform. And so we'll continue to monetize new and existing channels and continue to build on our technology platform, and we should be seeing the launch of new products and offerings in the coming months.
Andrew Semple: Okay. Great. That's very helpful. In terms of switching gears to the brick-and-mortars store counts, we've seen the number of Fire & Flower stores and the growth in brick-and-mortar stores kind of slow in the past two quarters. I guess, I just wanted to get your expectations for how stores may grow or not through the balance of the year. On prior calls, there seems to have been emphasis on greater strategic emphasis on the store within store concept with Circle K locations. Does that remain the priority for developing the brick-and-mortar network for the remainder of the year? And how do you think the store count trends for the balance of this year?
Stéphane Trudel: Yes. So we're going to take a holistic view of every opportunity that we have to open new stores in new markets, including the stores that are lined up with Circle K, but also some of the stores that we have lined up in the Fire & Flower experienced store pipeline. But we're also going to be looking at existing stores to see where we can improve their performance and where in some cases, it might record that we announce sort of that we've done in the past is to high grade our network. And I think it's important to understand that we're going to make these decisions like really looking at the capacity of these stores to grow in a competitive environment, but also how they can contribute to our delivery platform. So with having the last mile Pineapple Express Delivery capabilities now as part of the CannDeliv, it allows us to use some of these store as brick-and-mortar assets as delivery points that reach more customers outside of the normal range of these stores. So we have a lot of work to do to really maximize the stores that we have. But I'm excited because I think we have the right team that's looking at the stores the right way. So we've got stores right now under construction, co-located stores under construction that will come online. So I would expect that you'll see the number of stores fluctuate up and down, but we're not obsessed by a number of stores. We're obsessed with the profitability of the stores.
Andrew Semple: Understood. Thank you, Stéphane and Judy. And I'll get back into queue. Thank you.
Stéphane Trudel : Thank you, Andrew.
Operator: Our next question comes from the line of Justin Keywood from Stifel. Justin, please go ahead.
Justin Keywood : Good morning and thank you for taking my call. Stéphane, you mentioned the possibility of consolidation in the industry, I was wondering your view on M&A versus greenfield builds or co-location strategy. Is Fire & Flower potentially going to be opportunistic on some potential acquisitions, given -- I assume that, there's going to be some challenges for a couple of these operators, although perhaps operating some pretty solid locations?
Stéphane Trudel: Yeah. Well, thank you, Justin. Nice to meet you. Yes, so I think, if you look at how Fire & Flower grew in the past acquired friendly stranger and expanded its network and got through that acquisition, some key locations that today are generating some very interesting both revenue and margin for the company. So, we'll definitely be opportunistic and will be looking at M&A. Again, not looking to be a consolidator of weak assets, but as operators have created networks and have strong assets as part of their network, we going to be -- we're certainly going to be active in the M&A market. But again, not at the -- not being obsessed by store count, but really being obsessed by count of profitable stores, so we're really going to be selective to grow that network to M&A.
Justin Keywood: Understood. And a follow-up on the co-location strategy. Are you able to characterize the number of Circle K stores or locations that could lend itself to the co-location, I understand that, there's something around 3,000 Circle Ks in Canada. I assume not all of these locations would be appropriate for co-location. But if you have any additional comments on that would be helpful.
Stéphane Trudel: Yeah, I wouldn't want to throw a number. Circle K has actually 1,800 locations in Canada. And obviously, some of those are in markets where Fire & Flower can't operate. But in the markets where Fire & Flower operates, we're -- basically we're working hand in hand to see -- looking at the whole portfolio and doing a store-by-store analysis to see if there is a benefit to -- if there's an opportunity on the Circle K physical assets to add that space, but also the opportunity that it brings to Fire & Flower to have an extra node in the network in a very appetite manner. So, I wouldn't want to throw numbers. This morning, we do have two stores operating right now in Alberta. We're working on eight more right now across Western Canada through our -- through the agreement that we signed with Couche-Tard. But as I said before, this is our strategic partner, and we will want to look at every asset that possible in their network as long as, obviously, as it's in an area that we think is conducive to the right customer base, right traffic for our stores.
Justin Keywood: Understood. And it sounds like it could be quite a large opportunity. If I could just slip in one more question for Judy. Just on the gross margin, I realize there's some softness in the quarter. Is Fire & Flower stores -- is that gross margin consistent across geographies? Like, is it the same out west as it is in Ontario?
Judy Adam: Hi, Justin. Yeah, we don't really break it out to that level of detail for retail. So -- but yeah, our focus is really on growing gross profit dollars. And both on segment basis are more on a consolidated basis. And definitely, there's going to be some compression in the next few quarters as we've just recently launched our new pricing strategy. But again our focus is to stabilize that and to continue to grow gross profit dollars over the longer term.
Justin Keywood: Okay. Thank you for taking my call.
Stéphane Trudel: Thank you, Justin.
Operator: Our next question comes from Pablo Zuanic from Cantor Fitzgerald. Pablo, please go ahead.
Matthew Baker: This is Matthew Baker on for Pablo. Thank you for taking our questions. From outside, it seems you're being very conservative in opening stores within Circle K locations. If so, why is this? And then, I know this was touched on already, but can you comment on how many stores within a store you expect by year-end 2022 and year-end 2023? And also, can you just remind us of what Circle K brings to Fire & Flower besides capital on the potential co-locations? Thank you.
Stéphane Trudel: Hi, good morning, Matthew. Lots of questions there. So first one being conservative, no, this is a partnership that we have to work hand-in-hand with our partners and the partners have their own decision-making process. And while it may look -- maybe slow on paper here, there's a tremendous amount of work that goes on in opening these stores where this isn't simply building in an existing retail CRU that's available. It requires a tremendous amount of planning as Fire & Flower get inserted into existing stores. So it takes a longer time. But I think from day one, you've got traffic on these stores that is already looking -- already coming to your door. So I think the -- it's going to be well worth the wait. I won't get into any projections in number of stores because this is something we worked hand-in-hand with ACT on. So again, as I said, we've got this first group of stores that we're working on. So including these, we should be up to 10% by sometime the next -- within the next few months. And remind me again what the third question was Matthew, sorry about that.
Matthew Baker: Just to remind us of what Circle K brings to Fire & Flower besides capital and the potential co-locations?
Stéphane Trudel: Yeah. So a good question. Well, obviously, I'm coming from Couche-Tard and Circle K. I think what it also brings is a culture of disciplined, culture of operations that I think as a whole in the industry is definitely what will make this industry go through the hard times. So, I believe, it does bring this culture, this discipline, this view that the frontline is important. The relationship with your customers in the stores is important, as much as it is online, and that the capacity to be disciplined with your -- economically is a sustainable way to grow. So, I think that culture is also what it brings as a partner, but we shouldn't underestimate the capacity of -- the opportunity that Circle K brings in terms of its real estate network across North America, because as much as the culture can help shape what Fire & Flower becomes in the long-term, I think, the real estate is -- and the location is undervalued in that strategic partnership. It's very hard for anyone to find great real estate and Circle K, Couche-Tard has been active and I think bring a tremendous amount of expertise in finding the right high-traffic location that have been around for decades. So, I think, that's probably over and above the capital, what is the -- the key part that Circle K brings.
Matthew Baker: Understood. Thank you for that. And then for a follow-up, can you give a sense on the size of your delivery business in the context of direct peers in the overall market itself? And then more in general, what percent of total Canadian cannabis sales do you estimate are done through delivery? And just lastly, how will DoorDash entering the Canadian cannabis industry impact to you guys? Thank you.
Stéphane Trudel: I'll let Judy answer questions on the size of the delivery business.
Judy Adam: Yes. Matt, you've heard us talk about this before. We are the large -- Pineapple Express’s largest delivery service of cannabis in Canada with over 40,000 deliveries per month. And, hopefully, that answers your question. I wasn’t sure I caught all the rest of the question. What else were you inquiring about?
Matthew Baker: More in general, just what percent of total Canadian cannabis sales do you estimate or done through delivery? And then, how would DoorDash entering the Canadian cannabis industry impact you?
Stéphane Trudel: I’ll take the -- I’ll take DoorDash question.
Judy Adam: Okay.
Stéphane Trudel: Yes. So, on -- I think, the DoorDash business model is one that is very expensive for retailers. So as margins compress, I think it's going to be very tough for retailers to be using models like DoorDash to deliver product. So, I think it's how we differentiate ourselves with Pineapple Express, is also our capacity to manage the customer from beginning to end and to be very nimble in how we operate, but do it efficiently on a cost basis versus third-party delivery services like DoorDash.
Judy Adam: I think on the -- your other question in terms of sort of the size of the delivery market in Canada. I think, that sounds a little tough to estimate. But if you look at more developed markets like California, overall, that would be -- it's about 15% of the market that does delivery. So I think that's sort of an ultimate goal there. But I think it's still early days for Canada. We think definitely, maybe, calling that, the trend is increasing, but overall, it's kind of hard to give you a more firm number.
Matthew Baker: Understood. Thank you for answering the questions.
Judy Adam: No problem.
Stéphane Trudel: Thank you, Matthew.
Operator: Our final question comes from Jason Sandberg from PI Financial. Jason, please go ahead.
Jason Sandberg: Thanks for taking my questions. And I want to first congratulate you Stéphane for the appointment of CEO. Congratulations on that. The question that I had was, just in terms of your US strategy, just sort of what is the short-term goals there in terms of licensing in the US ahead of the legalizing of -- 
Stéphane Trudel: Yes. So our goal is to work with our partner, Fire & Flower US to support them through technology, as they look to expand their own network in states that have legalized. So, no, we think we bring the technologies stack there that is a significant set of capabilities. So our strategy will be to, again, leverage our tool sets where allowed and focus on that as some companies create their network across the various states there.
Jason Sandberg: Okay. Fair enough. You also mentioned postponing listing on NASDAQ. So I just wanted to get an idea of what -- when you would reconsider NASDAQ? Is it something that has been put on the back where indefinitely here, or are you waiting for markets to improve in general, or what would be the signal to reinitiate those developments?
Stéphane Trudel: Go on – we were exciting. Things are progressing well. But as market conditions changed significantly since we started the process, make that decision to pause. We have a strong balance sheet and a strong cash position. And as I've mentioned earlier, with the asset-light or capital-light development plan that we have in our plan to become free cash flow positive, I think we can sustain the next few quarters without going back to NASDAQ. And -- but it's something we'll assess on a quarter-by-quarter basis. It's not an indefinite postpone, it's a pause and -- but we're going to be looking at how markets evolve and see what the right timing is to reengage on that front.
Jason Sandberg: Okay. Perfect. And then just my last question can be directed here at Judy. And I'm not sure this has been listed in the MD&A, but you mentioned shifting Pineapple Express on the digital segment and to the distribution, which makes a lot of sense. My question is for that Q4 number, I know it was only a few days, but was there any meaningful revenue from Pineapple Express in Q4? And if so, can you disclose what that was?
Judy Adam: Yeah. Hi. Yeah, Pineapple Express it wasn't meaningful for the Q4, because it was primarily less than a week that it was in our results. So we just didn't feel it was meaningful enough to restate our Q4 figures.
Jason Sandberg: Okay. So that's the clarity. Okay. Thanks very much.
Stéphane Trudel: Thank you, Jason.
Operator: We currently have no further questions. I'll now hand back over to the management team for closing remarks.
Stéphane Trudel: Well, thank you very much for the questions and listening to our quarterly financials here. We appreciate the support and look forward to our next call at the end of Q2. Thank you.
Operator: This concludes today's call. Thank you for joining. You may now disconnect your line.